Operator: Hello, and welcome to the Robert Half Third Quarter 2023 Conference Call. Today's conference is being recorded. [Operator Instructions] Our hosts for today's call are Mr. Keith Waddell, President and Chief Executive Officer of Robert Half; and Mr. Michael Buckley, Chief Financial Officer. Mr. Waddell, you may begin.
M. Keith Waddell: Hello, everyone. We appreciate your time today. Before we get started, I'd like to remind you that the comments made on today's call contain forward-looking statements, including predictions and estimates about our future performance. These statements represent our current judgment of what the future holds. However, they're subject to the risks and uncertainties that could cause actual results to differ materially from forward-looking statements. These risks and uncertainties are described in today's press release and in our most recent 10-K and 10-Q filed with the SEC. We assume no obligation to update the statements made on today's call. During this presentation, we may mention some non-GAAP financial measures and reference these figures as adjusted. Reconciliations and further explanations of these measures are included in a supplemental schedule to our earnings press release. Our presentation of revenues and the related growth rates for each of our contract functional specializations includes intersegment revenues from services provided to Protiviti in connection with the company's blended talent solutions and consulting operations. This is how we measure and manage these businesses internally. The combined amount of intersegment revenues with Protiviti is also separately disclosed. For your convenience, our prepared remarks for today's call are available in the Investor Center of our website, roberthalf.com. We delivered above consensus top and bottom line results for the third quarter, notwithstanding the ongoing macroeconomic uncertainty that lengthens both client and job candidate decision cycles. Both talent solutions and Protiviti exceeded expectations. Gross margins remained strong due to pricing discipline and the ongoing benefit from the rising mix of revenues from higher skilled services. Our operating cost base also benefited from the targeted actions we've taken to align costs with revenues. We remain confident both in our ability to whether the current climate and in our future growth prospects as the macro landscape improves. For the third quarter of 2023, company-wide revenues, were $1.564 billion, down 15% from last year's third quarter on a reported basis and down 14% on an as adjusted basis. Net income per share in the third quarter was $0.90, compared to a $1.53 in the third quarter a year ago. Cash flow from operations during the quarter was a $176 million. In September, we distributed a $0.48 per share cash dividend to our shareholders of record for a total cash outlay of $51 million. Our per share dividend has grown 11.4% annually since its inception in 2004, the September 2023 dividend was 11.6% higher than in 2022. We also acquired approximately 1.2 million Robert Half shares during the quarter for $90 million. We have 11.5 million shares available for repurchase under our Board approved stock repurchase plan. Return on invested capital for the company was 24% in the third quarter. Now I'll turn the call over to our CFO, Mike Buckley.
Michael Buckley: Thank you, Keith, and hello, everyone. As Keith noted, global revenues were $1.564 billion in the third quarter. On an as adjusted basis, third quarter Talent Solutions revenues were down 17% year-over-year. U.S. Talent Solutions revenues were $823 million, down 20% from the prior year's third quarter. Non-U.S. Talent Solutions revenues were $260 million down 7% year-over-year on an as adjusted basis. We have 319 talent solutions locations worldwide, including 89 locations in 18 countries outside of the United States. In the third quarter, there were 63.1 billing days compared to 64.3 billing days in the same quarter one year ago. The fourth quarter of 2023 has 61.1 billing days compared to 61.2 billing days during the fourth quarter of 2022. Currency exchange rate movements during the third quarter had the effect of increasing reported year-over-year total revenues by $13 million, $10 million for Talent Solutions and $3 million for Protiviti. Contract Talent Solutions bill rates for the third quarter increased 4.6% compared to one year ago, adjusted for changes in the mix of revenues by functional specialization, currency, and country. This rate for the second quarter was 6%. Now let's take a closer look at results for Protiviti. Global revenues in the third quarter were $481 million, $386 million of that is from business within the United States, and $95 million is from operations outside of the United States. On an as adjusted basis, global third quarter Protiviti revenues were down 5% versus the year ago periods. U.S. Protiviti revenues were down 6% while non-U.S. Protiviti revenues were down 2%. Protiviti and its independently owned member firms served clients through a network of 89 locations in 29 countries. Turning now to gross margin. In Contract Talent Solutions, third quarter gross margin was 39.8% of applicable revenue versus 39.4% in the third quarter one year ago. Conversion revenues or contract to hire were 3.5% of revenues in the quarter, compared to 4.1% of revenues in the quarter one year ago. Our permanent placement revenues in the third quarter were 12.9% of consolidated Talent Solutions revenues versus 13.8% in the same quarter one year ago. When combined with Contract Talent Solutions gross margin, overall, gross margin for Talent Solutions was 47.5% compared to 47.8% of applicable revenues in third quarter last year. For Protiviti, gross margin was 26.2% of Protiviti revenues, compared to 30.5% [ph] of Protiviti revenues one year ago. Adjusted for deferred compensation related classification impacts, gross margin for Protiviti was 25.6% for the quarter just ended, compared to 30% last year. Moving on to SG&A. Enterprise SG&A costs were 31.8% of global revenues in the third quarter compared to 29.9% percent in the quarter one year ago. Adjusted for deferred compensation related classification impacts, enterprise SG&A costs were 32.5% for the quarter just ended compared to 30.6% last year. Talent Solutions SG&A costs were 39.3% of Talent Solutions revenues in the third quarter versus 35.3% in the third quarter of 2022. Adjusted for deferred compensation related classification impacts, Talent Solutions SG&A costs were 40.4% for the quarter just ended compared to 36.3% last year. The lower mix of permanent placement revenues this quarter versus one year ago had the effect of decreasing the quarter's adjusted SG&A ratio by 0.5 percentage points. Third quarter SG&A costs for Protiviti were 14.7% of Protiviti revenues compared to 16% of revenues last year. Operating income for the quarter was $144 million. Adjusted for deferred compensation related classification impacts, combined segment income was $130 million in the third quarter. Combined segment margin was 8.3%. Third quarter segment income from our Talent Solutions divisions was $78 million with a segment margin of 7.2%. Segment income for Protiviti in the third quarter was $52 million with a segment margin 10.9%. Our third quarter tax rate was 30% up from 26% for the same quarter one year ago. The higher tax rate for 2023 can be attributed to an increased impact from non-deductible expenses and fewer tax credits. At the end of the third quarter, accounts receivable were $941 million, and implied days sales outstanding or DSO was 54.2 days. Before we move to fourth quarter guidance, let's review some of the monthly revenue trends we saw in the quarter and so far in October, all adjusted for currency and billing days. Contract Talent Solutions exited the third quarter with September revenues down 17% versus the prior year compared to a 16% decreased for the full quarter. Revenues for the first two weeks of October were down 17% compared to the same period last year. On a week-on-week sequential basis, the rates of decline have narrowed over the past 10 weeks to 12 weeks. Permanent placement revenues in September were down 26% versus September 2022, this compares to a 23% decrease for the full quarter. For the first three weeks of October, permanent placement revenues were down 24% compared to the same period in 2022. We provide this information so that you have insight into some of the trends we saw during the third quarter and into October. But as you know, these are very brief time periods we caution against reading too much into them. With that in mind, we offer the following fourth quarter guidance: Revenues, $1.415 billion to $1.515 billion; income per share $0.75 to $0.89; Midpoint revenues of $1.465 billion are 15% lower than the same period in 2022 on an as adjusted basis. The major financial assumptions underlying the midpoint of these estimates are as follows: For revenue growth year-over-year, as adjusted, Talent Solutions down 15% to 20%, Protiviti down 8% to 10% overall down 13% to 18%. Gross margin percentage for Contract Talent, 39% to 41%, Protiviti 25% to 27%, overall 39% to 41%. For SG&A as a percentage of revenues, excluding deferred compensation classification impacts. For Talent Solutions 39% to 41%. Protiviti 15% to 17%, overall 32% to 34%. And for segment income, Talent Solutions, 5% to 8%, Protiviti 9% to 12%, and overall 6% to 9%. Tax rate, 27% to 28%. Shares 104.5 million to 105.5 million. 2023 capital expenditures and capitalized cloud computing costs, $80 million to $90 million with $20 million to $25 million in the fourth quarter. We limit our guidance to one quarter. All estimates we provide on this call are subject to the risks mentioned in today's press release and in our SEC filings. Now I'll turn the call back over to Keith.
M. Keith Waddell: Thank you, Mike. Consistent with prior quarters, job openings remain elevated. Unemployment rates remain low, and monthly job gains remain healthy. Macroeconomic forecasts are mix, and this is reflected at clients continuing hiring caution. Clients are budget sensitive and very selective in their hiring activities, including the approval of new projects. Also, many are maintaining their internal headcounts based on the anticipated difficulty in finding suitable replacements. Many times, this is funded with a reduction in their contract staff. In addition, job candidates are more reluctant to make career moves, fearing they may become the last in and first out in their new roles. The net result is less churn in the labor market. In Talent Solutions, we continue to strategically invest in services involving higher skilled positions across our practice groups. This carries many advantages. Higher bill rates in gross margins, longer assignment lengths, increase client openness to remote talent or full-time engagement professionals, and less economic sensitivity. The cumulative sequential revenue declines during the first five quarters of the current downturn are less than half what they were compared to the same periods of the dot-com and financial crisis downturns. A significant factor is if and this improvement is the relative greater resiliency of higher skilled services. Our current mix of contract revenues from higher skilled positions is over 50%, nearly double the percentage during the dot-com downturn. We expect this positive mix shift to continue. Protiviti's regulatory risk and compliance practice continues to be strong and again posted significant double-digit revenue growth for the quarter. Internal audit and to a lesser extent, technology consulting are being modestly impacted by client budget pressures. Protiviti's pipeline continues to be very strong, although economic conditions are impacting the average deal size and the time it takes to close contracts and begin new engagements. Protiviti continues to compete effectively in the marketplace, and its prospects are very positive. We've weathered many economic downturns in the past each time emerging to achieve higher peaks. With our current portfolio of Talent and Protiviti solutions, we are even more confident about the future. We remain committed to our time tested corporate purpose to connect people to meaningful and exciting work and provide clients with the talent and consulting expertise they need to confidently compete and grow. Finally, we'd like to thank our employees across the globe for their efforts, which made possible prestigious new accolades in the third quarter. Robert Half was honored by Time Magazine as One of the World's Best Companies and by Forbes as One of the World's Best Employers. And just today, we were again recognized as One of Fortune’s Best Workplaces for Women. Now, Mike and I'd be happy to answer your questions. Please ask just one question and a single follow-up as needed. If there's time, we'll come back to you for additional questions.
Operator: Thank you. [Operator Instructions] And the first question will come from Andrew Steinerman with JP Morgan.
Andrew Steinerman: Hi, Keith. I'm going to give you kind of a tough question. Obviously, revenues are down here, but not quite like a recession. So, like, what environment would you describe this as. Like, do you feel like the next step could be a mid-cycle slowdown that has recovery that follows? Or does this really feel more pre-recessionary to you?
M. Keith Waddell: Oh, what environment are we in now, we're in an environment where it's just factual that we've had five quarters of sequential slowing. And that sequential slowing is about half as what we said of dot-com and great financial crisis as far as the cumulative impact. As an aside, we've done a better job with gross margin. We've done a better job with SG&A, and we've done a better job, with operating margins over those same five quarters. Yes. As to what's next, hard to say. Clearly, on the one hand, economists are getting somewhat more positive, like last time Wall Street Journal last week was maybe 53-47. There won't be a recession. But that's still close to 50-50. So there's still a lot of uncertainty to remain. We've long taken the stance that we will not anticipate a downturn in how we manage our costs. They always lag a bit relative to our topline. The same has been true here. We're more focused on having the right kind of dry powder when things get better, than optimizing trough margins. The characterization of the current environment, I think for 18 months now, Andrew, economists have struggled. Most times have been wrong about what was going to happen.
Andrew Steinerman: Right.
M. Keith Waddell: As we said on the call, we are encouraged that during the last 10 weeks to 12 weeks, our weekly revenues have declined less than that same rate a quarter ago, as an example, from start to finish this most recent quarter. Our weekly revenues are down 2% or 3%. Cumulatively, that same statistic last quarter was down 8% to 10%. So clearly, the rate of decline has narrowed and or improved significantly. We're encouraged by that. But how we overall assess what's next, given how bad everybody's guesses, including professionals in the field, not really inclined to make an overall assessment.
Andrew Steinerman: That makes sense. Thank you so much, Keith.
Operator: And our next question will come from Mark Marcon with Baird.
Mark Marcon: Hi. Good afternoon, and thanks for taking my questions. I want to focus on Protiviti. You mentioned, areas of strength where regulatory risk and compliance practice. I'm wondering how big is that? And then the areas where you're seeing some weakness, how would you characterize the size there and trying to narrow in on, you know, the environment doesn't seem to be getting that much worse, but we are anticipating a continued decline at a faster rate here in terms of the guidance for Protiviti revenue. So I'm just trying to put those pieces together and to think that part through.
M. Keith Waddell: Okay. As to size, Protiviti basically has four major solution areas. Regular to our risk and compliance, internal audit, technology, consulting, and business process improvement. While they're not all exactly equal orders of magnitude, they're approximately equal. Technology consulting a little larger, regulatory risk and compliance, a little smaller, but orders of magnitude, they're in the ballpark of being fairly equal. As far as the guidance, frankly, if you take the average daily or monthly billings in Protiviti for the third quarter and you do apply that to the fourth quarter that has fewer days because not only the holidays, but because of the soft close many clients have around the holidays, you get a 5% or 6% shorter quarter in the fourth quarter, and that's precisely what the revenues are at midpoint projected to decline. And so the intention is pretty stable revenues on a daily basis, if you will for the fourth quarter. It's just a shorter quarter, and it's an even shorter quarter than we see in Talent Solutions because of the soft closes that extend the number of days of impact.
Mark Marcon: Great. You mentioned the pipeline is strong. How would you compare the pipeline, you know, at this time of the year relative to, say a year ago, and to what extent, you know, does that portend how next year is going to shape up. And along those lines, wondering if you can give us any sort of color with regards to campus recruiting and what you ended up doing new additions from campuses this summer. And this is the time of the year when offers are going out for people for next year. How's the size of the recruiting class coming in that will start up next summer?
M. Keith Waddell: The first on the pipeline, it is growing. It's larger than it was a year ago. However, the velocity of converting pipeline opportunities to close contracts and project starts has slowed. So it's not a matter of demand per se. It's the speed with which, it's the urgency with which that demand gets converted to a project start. Arguably, that portends well for next year. Protiviti feels good about where they are in this journey of 2023 that started with they're having to pay, you know, high single, low double digit raises to their staff given how competitive the market was to quickly became less than half of the attrition, which they typically experience, which put pressure on utilization which they've managed through quite well. They've taken their operating margins from high 7% in the first quarter to now back to over 10%. We think that's a very positive result given those conditions which then segues into campus recruiting, given the significantly less attrition that they're now seeing, they'll be somewhat more conservative with their campus hires in the coming months than they have traditionally, but they're still doing so. They still had they just finished a pretty sizable intern class many of which become, employees via campus. So still recruiting on campus, but not quite the extent to what they have before given the significant decline in attrition, which gets to this less churn in the marketplace that's true across employers, but which is also seen internally ourselves.
Mark Marcon: Great. Thank you.
Operator: And our next question will come from Josh Chan with UBS.
Josh Chan: Hi. Good afternoon, Keith and Mike. Thanks for taking my questions. I guess Keith, could you talk about the resilience in the contract Talent Solutions gross margin? I guess it's been very stable despite kind of a softening environment. I know you mentioned pricing and mix, but just kind of want to get your thoughts on whether that kind of can sustain going forward at these levels.
M. Keith Waddell: And so given the tightness of the labor market, we see no reason why we should be discounting pricing. If you have a solid qualified talent, you shouldn't give it away. And so our pricing is held up there. Our assumption is that the labor market remains relatively tight. And that bodes well for pricing. As to mix, we've been on this long term journey across our practice groups to move up the skill curve. And there is a meaningful gross margin benefit to the higher level skills versus the more operational level skills and accounting operational level skills will be accounts payable, accounts receivable, payroll, general ledger, etcetera, while the higher level skills would start with senior accountants and move up. And so that migration up the skill curve has been, planned and ongoing for several years now. We continue to march in that direction, which includes, by the way, our full time engagement professionals which are more prevalent at higher skill levels than at the operational skill levels. We feel great about gross margins, both as to what we've done and as to the outlook.
Josh Chan: That's good color. Thanks, Keith. For my follow-up, could I ask about the revenue comparisons? You gave the October, first two weeks of October. I guess given the fact that last year, you saw this deceleration in November and December. Would you expect that if there's a somewhat stable environment that the revenue declines would lesson as you go through the fourth quarter?
M. Keith Waddell: This whole weekly sequential versus quarterly sequential versus year-over-year has many moving parts and is complicated. That's why for us to understand how we're performing right now, we believe the best thing to look at is how our weekly revenues are progressing on a sequential basis. So the fact that we've had three quarters of sequential declines by definition, you're going to have negative year on year growth rates because you're starting in the hole. But to the effect that you've flattened out most recently that's certainly helpful on a year on year basis but you still have the issue of the past three quarters have been down less than what they were a year ago. And so year on year, has a lot of moving parts, including what happened a year ago, obviously, but how we're doing right now sequentially on a weekly basis is what we think is most indicative of what our market conditions.
Josh Chan: That's helpful color. Thanks, Keith. Thank you both for your time.
Operator: And our next question will come from Stephanie Moore with Jefferies.
Stephanie Moore: Got it. Thank you so much. Appreciate the question. You know, maybe continuing on the last question. As you think about, the fourth quarter and, you know, maybe the trends you started to see at the end of end of September, I'm sorry, the end of the third quarter, maybe in October. Any feedback you've been hearing from your clients or customers, any seasonality to think about, I think, we're all just trying to get our heads around where are we in the cycle? And I think this is a cycle where you had a lot of pockets of weakness, you know, whether you know, tech or elsewhere financial institutions over the last year. So maybe any customer color that you can point to, particularly, you know, towards the end of the third quarter that you've seen so far going into the fourth quarter would be helpful.
M. Keith Waddell: Thanks. Well, I'd say customers are still cautious. That said, it feels like it's beginning to stabilize. The numbers are the numbers, as I just described, from beginning to end, our average weekly is only changed by 2% that's not much. And that's a lot better than it was 90 days ago. And so there are signs of stabilization customers still have requirements, still have demands, consistent with the fact that job openings in the US are still high. So they still need people. They're just very selective. They're waiting for the perfect person to come along. And they feel like they can be patient and they have time to do so. But to us, the good news is when you look week by week for several weeks in a row, it looks much better than it did 90 days ago.
Stephanie Moore: Absolute. No. That's crystal clear. Appreciate it. Maybe just pushing gears quickly. Could you talk a little bit about some of your tech investments? I think we spent a lot of this call talking about some of the work you've done to kind of enhance your mix, but in terms of maybe some of the other actions within your control, can you talk a little bit about some of those digital and tech investments and kind of the opportunities in through 2024. Thanks.
M. Keith Waddell: So I presume you're talking in part about AI, and we've been very pleased about what AI has done to our recruiting kind of interesting this past quarter, we did a major three year back test of the effectiveness of our AI. We randomly choose over 70,000 candidates over the last three years and we tested how accurate our model was in predicting which candidates we placed and which we did not. And the good news is it was highly accurate in making that prediction. And the even better news is that clients gave us higher loyalty scores and had higher response rates where we involved our AI model in the selection process than where we did not. And so that just, reinforced what we already believed about our AI as we use it in recruiting, as we said last quarter, we're in the process of customizing a large language model, which we think will further improve our AI. And so we're excited about what it's done for us on the recruiting side. We continue down the path of using AI to help our people in their outreach as to which current customers, which previous customers, which prospects are the most likely to give them an order when they call. So that's an effort that's on-going. There's some positive signs on that horizon, but that's much less developed than we are on the Can recruiting side. So we're excited about our AI, our investment. Now we were into AI well before AI was in the paper every day. And it's very practical. It leverages data that only we have. We have candidate performance data across millions of assignments that they work for us. We leverage that information and it's a key portion of our AI as we now know it.
Stephanie Moore: I didn't want to say AI, but you did it for me. Appreciate it. Thanks for the color.
Operator: And we'll take a question from Manav Patnaik with Barclays.
Princy Thomas: Hi, Keith. Thanks for the question. This is Princy Thomas on for Manav. Can you talk about any public sector impact and exposure from the UAW and other labor strikes for Robert Half?
M. Keith Waddell: Yeah. So there's very, very, very little impact from labor strikes on Robert Half. Either UAW or the LA entertainment based. I mean, small impacts, but certainly not enough to move the needle.
Princy Thomas: Gotcha. And switching gears. Can you talk about any factors that are influencing your outlook for internal hiring?
M. Keith Waddell: For internal hiring, we're always looking at the productivity of our existing staff. We've been through a process where based on individual performance, we've had to reduce staff that weren't performing to expectation. That said, we're always in the market for, highly talented, experienced staff and would continue to look so, but the point is given the current environment, we're certainly not aggressively adding to internal staff. We feel good about the dry powder we have and the skill set of the dry powder, which is both sales oriented and recruiting oriented. And those are the people that are performing best in this environment. Those are the people that have the best productivity in this environment. We feel like we've got some pretty decent capacity in that way. But we're always on the lookout for great people.
Princy Thomas: Got it. Thank you.
Operator: And our next question will come from Trevor Romeo with William Blair.
Trevor Romeo: Hi, good afternoon. Thanks for taking the questions. One on the talent solutions business, could you talk maybe about demand by client industry vertical? Are there any types of clients that are maybe holding up better than others in this environment, or vice versa?
M. Keith Waddell: Well, on the Talent Solutions side, we're 70% SMB. And so we certainly don't have that many large clients. Financial Services on the mid cap and larger cap on the Protiviti side is holding in there reasonably well, probably down mid, single digits year on year, but there's no real industry story per se, outside of that. It's pretty broad based. But both by geography and by industry. Maybe California are a little more impacted because it's big tech heavy. But there are no major stories there.
Trevor Romeo: Okay. Understood. Thanks. And then one on Protiviti. I think you mentioned some budget pressure on the internal audit and the tech consulting practices. Just wondering if you could maybe give some more detail on, what those conversations with clients look like on consulting projects in particular since we are kind of approaching the year end budget cycle for a lot of companies.
M. Keith Waddell: Well, part of what's happened, particularly in internal audit, with their large FSI clients, we've talked about in the past, a lot of what Protiviti does is co-sourcing where they split the responsibilities with clients as to their internal audit work program. And as clients get more budget conscious, they allocate more of that work to their internal staff and less to third party such as Protiviti. I think that environment is expected to continue. But as I said earlier, Protiviti feels like the marketplace is pretty stable as it relates to their services as we speak. And feels pretty good about where they are including in the budget cycle for the coming year. The first quarter is a big quarter for signing new internal audit contracts. And they're relatively bullish about that. So we feel good.
Trevor Romeo: Okay. Great. Thank you, Keith.
Operator: And moving on to Kartik Mehta with Northcoast Research.
Kartik Mehta: Hey. Good afternoon. Keith, you talked about your ability to maintain pricing, and I'm wondering from a competitive standpoint, you've seen any change. If there's any pricing competition, at all, or what your competitors might be doing?
M. Keith Waddell: Well, on the talent solutions side, there's always price competition. We never operate in the absence of price competition. There are local regional firms that always in every part of a cycle, try to compete based on price. But given how tight the labor market is, frankly, he or she that has the best candidate wins. And given our brand, given our positioning, we typically can compete quite effectively on quality of talent we can provide, which is also aided by the AI, I just talked about. So it's more about candidate quality than price, but that's not to say we don't get undercut every day by a local competitor as to price. On the Protiviti side, I'd say the Big 4, based on how heavily they hired, what their position has been relative to the campus hires that were coming some of which have been deferred. Some of them have certain locations that have excess capacity. And in those locations, those Big 4 firms will get quite competitive as to price, but that's just part and parcel to the environment Protiviti has been operating, and it's been that way for a couple of three quarters.
Kartik Mehta: And just on E&Y, Keith, just you know, now that they've decided to go another direction, does that help, hurt, or is it neutral, do you think for Robert Half?
M. Keith Waddell: I'd say neutral helps a little bit. We were already seeing partners, managing directors that weren't happy with how they thought that was going to shake out. The fact that it didn't happen wasn't a surprise given all of the first-hand knowledge the Protiviti MDs had of when Anderson, Anderson Consulting split and what the challenges are there. The thing about Ernst & Young, they didn't have a lot of external audit financial services clients where they're conflicted from providing consulting services. So they weren't going to be freed up in a major way to provide consulting in Protiviti's largest industry group, which is FSI. So it was already not expected to have a huge negative impact for that reason. But the fact that it didn't happen, it's kind of business as usual. Nothing's new, but there is a little more activity with some of their partners, managing directors that would be interested with Protiviti. I said the other thing about the Big 4 generally, most have a very young early retirement practice. I say that because I'm 66 and I would be passed their limit. But we're the beneficiary of many of those early retired partners across the Big 4 that have many productive years left in their careers.
Kartik Mehta: Thank you very much. I appreciate it.
Operator: And our next question will come from Jeff Silber with BMO Capital Markets.
Unidentified Analyst: Hey. Thanks so much. This is Ryan on for Jeff. Over the past couple of quarters, there has been a larger delta between the US and international business. Was just curious if you can explain where you're seeing the relative strength internationally?
M. Keith Waddell: Your observation is correct. And international zone generally speaking has outperformed US for several quarters. Most of that's been in Europe. Within Europe, Germany has been the strongest Belgium has always been solid. It's been good lately. And even the UK, which gets a fair amount of negative press. For us, the UK's been good. So we continue to have a better quarter year on year and sequentially outside the US than in the US, which is great.
Unidentified Analyst: Got it. And then I know you talked about some of the cost actions during the quarter, and I'm sure that's reflected in the SG&A guidance. Just more broadly, can you offer any thoughts on where you are from expense side going forward?
M. Keith Waddell: As I said earlier, our overarching goal is not to optimize trough margins. But is instead to right size and have the right kind of capacity when things get better. And we've gone through a process the last several quarters individually based on productivity. And based on capabilities to right size our staff, we've gone through that process. Those savings are reflected in our SG&A. I think this quarter alone, we saved $42 million per quarter relative to a year ago in Talent Solutions. So we'll continue to watch revenues and to the extent we have to make further adjustments based on, what plays out. We'll be looking at that. But again, not with the view that there's some magical, trough margin we're not going to go below, but instead, what's the right thing to do relative to having the capability we want to have as things get better. As we've also said in prior calls, many of the actions clients take during a downturn reduce their capacity. And as soon as things get better, they need capacity and we're a great source for them to scale their own internal capacity when things get better for which we need our own internal resources.
Operator: And our next question will come from Tobey Sommer with Truist.
Tobey Sommer: Thank you very much. I'm wondering what growth would look like if this is a mid cycle slowdown on the other side, if the decline has been half as steep as fire, recession is in down periods, does the up cycle on the other side does that kind of difference inform what we should expect on the other side?
M. Keith Waddell: Well, the only reason I would say no to that is to me the absolute level of job openings are much, much higher than in the past. So even though it's been half as negative on the downside, those job openings, which are future hires, for which the velocity does speed up when things get better, they're there. So that gives me confidence that just because it's been half as negative going down, it's only going to be half as positive going up. Look at that huge job openings number, which is almost double what it would typically be coming out of a down cycle.
Tobey Sommer: And even with unemployment at these low levels, you think that those jobs is a high level of job, so it can be filled and propeller more aggressive and typical upturn as environment –
M. Keith Waddell: I understand that typically in the early part of an upturn, a major source of candidates for us are those, that are between jobs because they were employed during the downturn. And clearly, there are fewer of them, but we're not near as concerned about supply just as during the peak of the last two to three years, when labor was really tight, you never heard us talking about our growth was constrained because of supply because we have several levers. We've got a Canada database of 30 million people. We've got AI that can pinpoint a short list of the right candidates to fill those positions with remote work, which remains viable, particularly at upper skills that expands the candidate base. And maybe more important than everything I've just said, this full time engagement professionals there, we're recruiting from people that already have a full time job. And so that's not relying on people that were displaced during a downturn. That's having people switch from their current full time job to work for Robert Half full time and be deployed as a contractor. So I'm very bullish on the supply side that as things get better, even though there won't be the traditional tranche of unemployed people for us to rely on for supply, we have alternatives that are just as good if not better as we demonstrated the last couple of years.
Tobey Sommer: Thanks. If I could sneak one in, how has remote job opportunities, how are those trended as a proportion of the jobs that your clients are looking for you to fill, you know, year to date and how does that compare to 2021, 2022 when it might have been sort of on site.
M. Keith Waddell: And so without giving firm statistics, we would say, it's certainly different at higher skills and lower skills where much more prevalent at higher skills. Next, we would say the movement has been more between fully remote and hybrid then it has been to totally on-site. And so not a lot of movement between totally on-site and the others but there has been a fair amount of movement between remote to hybrid. But if you add remote and hybrid together, another way of saying what I just said is that that's fairly stable, particularly at higher skills.
Tobey Sommer: Thank you very much.
M. Keith Waddell: And it still want the flexibility to not come in every day. That hasn't changed. At higher skills, and particularly for project skills, clients still very much accept remote work. Even more so, I would argue than they do with their own full-time staff. They have a special project. There are very pinpointed high skills that they need for that project. They remain very willing that that be staffed on a remote basis. That's where those high skills are.
Tobey Sommer: Thank you.
Operator: And our next question come from George Tong with Goldman Sachs.
George Tong: Hi. Thanks. Good afternoon. Your contract Talent Solutions revenue exited the third quarter, down 17%, which was relatively comparable to the full quarter down 16%. To what extent does your 4Q guide assume stabilization in your various end markets with respect.
M. Keith Waddell: I looks at the sequential trends for the fourth quarter over many years. And that trend line we discount based on the experience of the last few quarters. Since this most recent quarter, the trend line improved we've reflected that improvement in our Q4 guide. That said, we've still significantly discounted what the traditional trend line would be for a typical fourth quarter. And by the way, the fourth quarter given the shorter number of days due to holidays and for perm placement, the month of December is always volatile. Clients run out of budget. Clients go on holiday. Clients decide to defer hiring until next year. So December perm placement is always variable into how we perform, but by and large, we've reflected some of the improvement that we saw sequentially in the third quarter in our guide for the fourth quarter, but certainly not all of it. Said differently that weekly sequential stabilization, we partially reflected in Q4, not totally reflected.
George Tong: And that's just for conservatism.
M. Keith Waddell: Right. It's for conservatism, and it's because it's the fourth quarter and because fourth quarter holiday impacts change fourth quarter perm hiring demand changes.
George Tong: Got it. That's helpful. And then in the quarter, you delivered, above consensus numbers for revenue and profitability. As you think about internal metrics, what areas of the business surprised you to the upside and what areas would you call out would be surprises to the downside that you saw in the quarter?
M. Keith Waddell: I'd say the positive surprise was the improvement in the weekly sequential performance, which was pretty broad based across our practice groups. On the negative side, the good news is that there were no major negatives in that way. And so I wouldn't call out anything as being of consequence. That was a negative relative to our expectation. The other positive that I mentioned that was not a total surprise, but Protiviti made significant improvements in their segment income over the course of the first three quarters. First quarter in the sevens, third quarter double digit again and kind of given the dynamics of the campus hires coming, the less attrition, the resource management between contractors and full time staff. I think they did a hell of a job given the hand they were dealt with, maintaining and improving. Their segment margins went up 200 basis points between the second and third quarter, which I think is fantastic. And that's a little better than we expected, but I think it's fantastic.
George Tong: Got it. Thank you.
M. Keith Waddell: Okay, everyone. That was our last question. Thank you for joining.
Operator: Thank you. This concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the investor centre of Robert Half's website at roberthalf.com. You can also log in to the conference call replay, details are contained in the company's press release issued earlier today.